Operator: Good afternoon, everyone, and thank you for participating in today’s conference call to discuss Super League Gaming’s Financial Results for the First Quarter ended March 31, 2022. Joining us today are Super League’s President and CEO, Ann Hand; and CFO, Clayton Haynes. Following their remarks, we’ll open the call for your questions. Before we go further, please take note of the Company’s safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995. This statement provides important cautions regarding forward-looking statements. The Company’s remarks during today’s conference call will include forward-looking statements. These statements, along with other information presented that does not reflect historical facts, are subject to a number of risks and uncertainties. Actual results may differ materially from those implied by these forward-looking statements. Please refer to the Company’s recent earnings release and to the Company’s reports filed with the Securities and Exchange Commission for more information about the risks and uncertainties that could cause actual results to differ. I would like to remind everyone that this call will be available for replay through 8:00 p.m. Eastern Time on May 23, 2022, starting at 8:00 p.m. Eastern Time tonight. A webcast replay will also be available via the link provided in today’s press release as well as on the Company’s website at www.superleague.com. Now, I would like to turn the call over to the President and CEO of Super League Gaming, Ann Hand. Ann?
Ann Hand: Thank you, Ashley, and good afternoon to everyone. Thank you all for joining us today. We have a lot of great news to report. As I’ve mentioned, I enjoy the exercise of writing each quarter’s earnings script as it provides a moment to pause and reflect on what we’ve accomplished and equally ask ourselves how we can supercharge our performance delivery going forward. It’s our quarterly report card. So let’s jump in. To start we delivered 3.8 million in revenue in Q1, higher than consensus expectations and a new record high for a first quarter and higher than our internal plans. Our strong results both financially and operationally have set a solid foundation for the rest of 2022 as we continue to strengthen our leading position, and connecting advertisers to young gaming audiences through our universe of Metaverse games and content channels. It bears repeating that the Metaverse is not something we recently pivoted towards. We’ve been in the gaming Metaverse for eight years. It’s where we live, and where we have built success for ourselves and for brands and our partner creators. 81% of Gen-Z say gaming is their favorite activity. This is where advertisers need to be because this is where kids are, they’re gaming with Metaverse games existing for over a decade. It’s not a theoretical concept. In fact, this category, as a category is projected to be a $413 billion industry by 2024. Equally compelling global advertising spend, categorized as in game advertising, is projected to be valued at 56 billion by 2024. This is our addressable market and it’s massive and growing. Today our gaming fans generate close to 1 billion monthly impressions driven by over 70 million monthly active players we reach in our Metaverse gaming network, operating at scale across the two biggest global Metaverse game platforms, Roblox and Minecraft. As we have mentioned on other calls these Metaverse game platforms are places for creation, competition, community and commerce. And this is where Gen Z lives where they play, the generation living an authentically digital lifestyle. They move fluidly between the digital and physical worlds in their daily lives, a cohesive integration of their online and offline personas. Gen Z seeks to express their true selves across both worlds and want the brands they support to be aligned with their values and interest. A Metaverse specific strategy is no longer optional for brands, it has become a requirement for customer acquisition, retention, and loyalty. The Metaverse creates a space where gamers can be anything they want to be, and so can brands. And the winning brands right now are creating organic ways to play where their target audience plays. So before getting into the updates on our business, I’ll mention some of the financial highlights for the first quarter of 2022. As stated at the start, we reported 3.8 million in Q1 revenue up 378% year-over-year. Our three primary revenue streams each increased significantly, with advertising and sponsorships making up 49% of total revenue in Q1. Gross margin for Q1 was 49% a four point increase over Q4, 2021 and in line with the target range of a blended 45% to 50%. As of March 31, 2022, we had 7.8 million of cash on hand and earlier today, we closed on an additional 4 million and financing that together with earlier announced financing facilities provide us with adequate capital to deliver on our 2022 growth strategy. Now for some business updates. As we mentioned in our last call 2021 was a transformative year for Super League. In the first quarter of this year, we completed the integration of last year’s acquisitions, and strengthened our Metaverse strategy. We are now one Super League, and this is how we present ourselves to brands. The Super League universe, as we call it is the launch pad for brands in the gaming Metaverse and we are the rocket ship to take them there and guarantee their success. We can say this credibly, we know what it takes to win in the Metaverse because this is where we live. Our universe of games and supporting content network offers a 360 degree solution, a unique entry point for our brand partners like Twitch, MTV and Samsung to name a few. So let’s first talk about how it works, what makes it special. First, we ignite a brand by connecting them to our massive player communities in our own and our partners existing game environments with compelling in game play experiences. And we can go a step further to create custom game worlds dedicated to the brand as well. Next, we augment the game play by extending the brand into our wider network of game worlds through our Metaverse ad products, innovative in-game media, including dynamic billboards, and 3D Interactive characters. This is where our relationship with our game developers is so powerful through our suite of developer tools, we empower our creative partners to scale, monetize and optimize their game franchises, and in doing so further leverage their added reach for our brands. But we don’t stop there. Through our content studio and patented scalable virtual production tools we extract and shape contagious end game content from these proprietary game experiences, premium livestream, video on demand and social content for the brands and our own social media channels, further amplified by our accessible pool of gaming influencers, delivering maximum campaign objectives, while creating a greater revenue opportunity for ourselves and for our creative partners. The objective for advertisers, what we can deliver right now is multi dimensional and massive game or world engagement. So let’s look at a real time example. Our recent activation within MTVs wild and out a popular VH1 hip hop and show brought all of these elements to bear. In celebration of their 300th episode, we partnered with their parent Paramount and launched a three week long live Metaverse game experience, reinventing the popular freestyle show. Within our owned and operated property Minehut players were able to freestyle rap interact with the host Nick Cannon, and try out new gaming experiences. And viewers could enjoy the entertainment through our live stream broadcast; for new viewers an opportunity to get introduced to the show, and for existing viewers a chance to engage with one of their favorite shows and a whole new way through a digital immersive world. A sample of some of the campaign stats from this integrated program, 4 million the crossover of our Minehut audience to Wild and Outs target demographic, 1.5 million, the number of weekly posts on social media and digital engagements. 618 million, the total readership across nine key media outlets and 770,000 the total number of TikTok highlight video views. So as you can see, Super League’s robust product and service suite offers full solutions that deliver optimal objectives, Metaverse, game creation and integration and existing Metaverse games, compelling live stream video on demand and social content boosted with influencer marketing for further amplifications; all inside of our COPPA compliant kids safe certified universe. Now before I move into our sales pipeline health and forward revenues, I would be remiss to not comment on some other exciting business developments in Q1. We expanded our innovative ad inventory introducing a new 3D non-playing character unit, and partnered with Universals DreamWorks Animation to showcase this immersive 3D ad product for the first time. To promote their feature film The Bad Guys, we create 3D versions of the five main characters that would come to life in front of a player’s eyes when the player passed by. Pre- programmed dialog boxes initiate an exciting and fun con conversation. So gamers could start to bond with these colorful new characters ahead of the film’s release. And just the first four days of the campaign, the collection of ad units, which included billboards, animated GIFs, and 3D ads generated more than 10 million impressions of at least 10 seconds in duration, and were seen by more than 2.2 million unique players. More significantly, players self selected to interact with the 3D characters for more than 42 days of total chat time. Again, that’s just over a four day campaign, yielding a 62% engagement rate. This rate is substantially greater than the average TikTok engagement rates of sub 20%, which is the highest among social media platforms. In addition, 79% of players responded yes, when asked by the 3D characters, if they intended to head to the movie theaters to see the newly released movie. This is worth a pause. Imagine how powerful this is for an advertiser to get that real time sentiment, feedback ahead of a new product or entertainment release. Imagine Hasbro or Mattel, receiving such a clear buy signal ahead of a new toy launch, or even a place to safely test concepts before the big R&D dollars have been spent. And in the case of The Bad Guys, these are five new characters brand new IP that Paramount has aspirations to monetize well beyond film. Young gamers have an interest in engaging not just was beloved known IP, but even new intellectual property they have never seen before. It used to be that the studio saw the game as the extension of an entertainment franchise the afterthought. With gaming being Gen Z’s preferred form of entertainment, it is now the place to start. It’s where you launch.  Another significant business highlight in the announcement of our network of global selling partners including our exciting partnership with iHeartMedia. These are two facets that are very specific to this relationship with iHeart. First, Super league will provide our Metaverse expertise to create iHeart land virtual spaces and other fan experiences leveraging iHeart’s owned and operated musical concert properties and talent. This is a strategic move by the audio centric media company to get into the game, leveraging their IP into the gaming Metaverse to reach new audiences and new sources of monetization. Additionally, iHeart joins our fleet of network sales partners unleashing their 1,500 strong domestic sales force on our premium gaming centric inventory to complement their audio ad products and opportunity for them to sell on our behalf to the advertisers with whom they already have deep established relationships. We now have a bench of more than 10 network sales partners globally, covering most of our reach, and have built in the economics to protect our premium quality CPMs and resulting strong margin profile. So this is a good segway to our top line growth and overall sales pipeline health. I mentioned on our last call that we have a great problem on our hands. We have an exploding amount of premium inventory and couldn’t possibly get it into the advertisers’ hands fast enough on our own. It is about education and awareness that these types of innovative ad products exist and the special experience as well to deliver outstanding performance results. So our network sales partner strategy is vital to augment the efforts of our direct sales team and get our coveted inventory into in front of as many advertisers as we can to leave as little un-captured revenue as we can on the table. And there are other trend lines that give us confidence in this step change your revenue growth. First we continue to see overall deal size of our pursuits growing. Medium pipeline deal size is over $200,000 and as I mentioned in March, we are chasing several opportunities north of $1 million in value. In fact, we landed our first inking a deal with Samsung to support the delivery of Samsung Superstar Galaxy, a five week limited event culminating and a finale concert experience with Charlie FCX. Super League assisted in building out the game play experience driving audience through media and influencer reach and will be broadcasting partner to deliver weekly shows and the finale concert to Twitch. Another sales house factor repeat volume, in Q1 we saw 90% repeat buyers. Amazing really, advertisers are satisfied. They’re coming back to put more ad dollars to work with us and with bigger bite sizes. And yet the diversity of who we serve is growing as well. In the first quarter, we saw brands like Oshkosh, Tyson Foods, Nike tapping into our ad products to deliver their campaign goals. Finally, we’re seeing improved sales force efficiency as well. For more revenue per salesperson to higher win rates, our growing direct sales team is coming up the curve with greater sell through without compromising our premium $10 to $25, CPMs and 40% to 50% targeted margin range. So let’s look forward a bit. As I mentioned at the start, we had our best first quarter and best analyst estimates and the momentum is carrying over into Q2. So far we have underpinned over 4 million in Q2 revenue, and we have a good amount of time left in the quarter. And as we know, the first half of the year is our lower revenue period due to the seasonality and advertising spend. So I’m happy to say regardless of the economic conditions impacting so many industries and companies out there, that we expect another record quarter in Q2 and we reaffirm our expectation for 2022 annual revenue in the range of 20 million to 22 million. At this point, I’ll turn the call over to our CFO, Clayton, who will review our first quarter financial results, after which I’ll come on with back on with some closing remarks. Clayton?
Clayton Haynes: Thank you, Ann and good afternoon, everyone. Jumping right into our strong first quarter 2022 results. As summarized in our earnings release filed with the SEC filed this afternoon first quarter 2022 revenues were 3.8 million compared to 788,000 for the first quarter of 2021. The 378% increase was driven by strong increases for all three of our primary revenue streams including advertising and sponsorships, content, sale, and direct to consumer revenue. Advertising and sponsorship revenues, which includes direct sales, advertising and brand sponsorships, as well as programmatic display in video advertising revenues increased 328% to 1.9 million and comprised approximately 49% of revenues for the first quarter of 2022 compared to 55% in the first quarter of 2021. The increase in revenue just primarily due to a 189% increase in our direct sales advertising revenue generating customers driven by our growing premium in-game and in-stream advertising inventory, and a 48% increase in the average revenue per customer. Content related revenues increased 384% over the prior year quarter to 1.4 million and accounted for approximately 37% of revenue for the first quarter of 2022 compared to 37% of revenues in the prior year quarter. Content sales revenue is generated in connection with our curation and distribution of eSports and entertainment content for our own network of digital channels, and our media and entertainment partner channel. This includes the syndication and licensing of original programming content. user generated content, including online game play and game play highlights technology, and the creation of content for third parties utilizing our content studio remote production and broadcast technology. The increase in content revenues for the first quarter of 2022 was primarily driven by an increase in our live stream remote production broadcasts game play and technology development related content sales activities, including broadcast and game play projects with Twitch interactive and Aftershock Media Group. Direct to consumer revenues, which consists of sales of digital goods and subscriptions across our owned and operated MineType digital property, and our MineVille and Pixel Paradise, Official Microsoft Minecraft servers Rose 692% to 507,000 and accounted for approximately 13% of revenues for the first quarter of 2022 and 8% in the prior year quarter. First quarter of 2022, cost of revenues increased to 1.9 million compared to 342,000 in the comparable prior year quarter. The increase was primarily due to the significant increase in related revenues in the first quarter of 2022 compared to the prior year quarter. As a percent of revenue, gross profit in the first quarter of 2022 was 49.3% compared to 56.6% in the prior year quarter. This reflects a four point or 10% improvement versus Q4, 2021 as the company absorbs and further optimizes lower margin advertising inventory as a result of acquisitions in 2021. The company expects gross margin to hold in the target range of 45 to 50% in future periods reflective of the company’s premium advertising model. Moving on to OpEx. Total operating expenses in the first quarter of 2022 were 9.8 million compared to 5.1 million in the comparable prior year quarter. The increase was primarily due to an increase in personnel costs associated with our 2021 acquisition, and non-cash amortization of intangible assets acquired in connection with our 2021 acquisitions. To a lesser extent, the increase also includes higher cloud services and other technology platform costs reflected the expansion of activities in connection with our fiscal year 2021 acquisitions, and the continued surge and engagement across our digital property. Non-cash amortization of intangible assets for the first quarter of 2022 totaled 1.3 million compared to 242,000 in the first quarter of 2021. In addition, non-cash stock compensation charges for the first quarter of 2022 totaled 1.1 million compared to 411,000 in the first quarter of 2021. On a GAAP basis, which includes the impact of non-cash charges and credits, net loss in the first quarter of 2022, was 7.9 million or $0.21 per share, compared to a net loss of 4.6 million or $0.23 per share in the comparable prior year quarter. Excluding non-cash stock compensation charges and non-cash amortization of intangibles our pro forma net loss for the first quarter of 2022 was 5.5 million or $0.15 per share, compared to 4 million or $0.26 per share in the comparable prior year quarter. The change primarily reflects the significant increase in top line revenues and gross profit and the expense related relationships and fluctuations described earlier. The weighted average diluted share count for the first quarter of 2022 was 36.8 million, compared to 19.8 million for the first quarter of 2021. As disclosed in our earnings release, and 8-K filed with the SEC this afternoon pro forma net income or loss is a non-GAAP measure that we believe investors can use to compare and evaluate our financial results. Please note that our earnings release contains a more detailed description of our calculation of pro forma net loss as well as a reconciliation of pro forma net loss, with the most directly comparable financial measures prepared in accordance with U.S. GAAP. Looking at the balance sheet as of March 31, 2022, we reported 7.8 million in cash, 10.7 million of working capital and total shareholders’ equity of 83.8 million. Consistent with our outlook discussed during our Q4, 2021 earnings call our average monthly net cash burn rate for 2022 based on plan is expected to be in the 1.7 million range, as we continue to focus on and control costs in connection with our commitment to reducing costs and improving the bottom line. As previously disclosed to strengthen our liquidity in March of this year, we entered into an equity line of credit facility with Tumim Stone Capital, where we have the right but not the obligation to sell up to 7.3 million shares of common stock subject to the terms of the underlying agreement as previously filed with the SEC. In addition, today, the company entered into a securities purchase agreement with certain institutional investors, providing for the sale and issuance of a series of convertible notes in the aggregate original principal amount of 4.3 million, of which 8% represents an original issue discount. The convertible notes will accrue interest at a guaranteed annual rate of 9% per annum, mature 12 months from the date of issuance, and are convertible at the option of the investors into the company’s common stock at a conversion price of $4 subject to the terms of the underlying agreement. We believe that today’s closing of an additional 4 million in financing combined with the equity line of credit and earlier announced financing facilities provides the company with the ability to deliver against our 2022 growth strategy. This concludes my prepared remarks. Thank you for joining us today. I will turn the call back over to Ann for some closing remarks. Ann?
Ann Hand: Thanks Clayton. So to recap, the strong operating momentum of the first quarter has created a solid foundation for achieving our growth expectations for 2022. We’re laser focused on execution to monitor ties are sought after ad inventory. And given the unusually tough market environment, facing public companies we are committed to not just delivering the top line, but also identifying further cost levers to narrow our operating losses faster. But again, I must reiterate, despite this challenging economic environment, we are on plan for a breakout year of growth. We aren’t just taking advertisers into the Metaverse, we’re taking you, our committed investors there as well. And as you will hear me say again, and again, we are well-positioned to take you there, because it’s where we live, where we’ve already established a massive audience now with massive growth ahead. And so with that, Clayton and I are happy to take your questions. Ashley.
Operator: Thank you. [Operator Instructions] And our first question will come from Scott Buck with H.C. Wainwright. Please proceed.
Scott Buck: Hi, good afternoon, guys. Thank you for taking my questions. It looks like you have another quarter of a nice step forward on the content revenue. Should we view this as the new run rate or are there some kind of one off items in there that made this quarter particularly strong?
Ann Hand: Yes, definitely what we love about both our content and technology revenue stream, as well as our direct to consumer stream is they offer a nice smoothing out of the inevitable seasonality with ad revenues. And we did have some repeat business specifically with Twitch who has been a long serving content partner in the back half of last year coming through in 1Q we continue to expect to continue to see that come through. And as well, we booked a pretty significant technology licensing and piece of work that we had done for Verizon, which was a one off client. And so those are the two kind of primary kind of customers that you’re seeing there. Twitch is recurring, Verizon is not.
Scott Buck: Okay, that’s very helpful Ann and then that leads me to gross profit margin content mix driven in the quarter. I mean, I know you guys reiterated the 45% to 50% on the year, but just curious again, we had a nice real nice step forward in the quarter, I just want to make sure I’m thinking about it the right way for the remainder of the year.
Ann Hand: Yes, I mean, the nice thing is, is that we target that type of margin range across all three of our revenue streams. And so we don’t have one revenue stream necessarily dragging down the others from a blended perspective. Certainly what we’ve talked about on prior calls is that last year we were hitting north of 50% in the early part of the year. And then as we got through the acquisitions, it just took us a little bit of time to absorb the new ad inventory through the acquisitions, and to reset those rate cards, so that we could walk those ad products up to that same kind of 45% to 50% range. And so I think investors should be really happy to see that we identified that opportunity to walk it up since 3Q and we’ve done it about four points and 4Q and then another four points here, and 1Q so now we’re hitting that nice strike range. I do caution that the reason we say 45 to 50 is really to your question, these things do fluctuate. Sometimes we’re going to chase bigger deals, and maybe we’re willing to take on a little bit lower of a margin. Just because it’s a big deal. Maybe it’s an opportunity to kind of create a tentpole event with a brand we’ve been chasing for some time, because we know there’s a lot of follow on afterwards. But again, the objective of the company across all three revenue streams is staying in that 45% to 50% range.
Scott Buck: Great, that’s very helpful. And then last one for me. I’m just curious on the additional capital. Are there specific initiatives you’re looking at to use that money for? Or is it more broadly, just working capital to sort of continue to run and grow the business?
Ann Hand: Yes, it’s really both. Because if you think about it, I mean, we took on a pretty bold goal to more than double our revenue relative to last year. And so this is opportunities for us to deliver that plan, and also to opportunistically grow beyond it, whether it be organic or organic. So we’ve done a lot of good work at what would it take for us to at a minimum, hit the numbers we’ve promised and also what would it take for us to hit it out of the park beyond that, and we feel that right now, between the 4 million and the other earlier announced financing facilities that we have available to access to at our own discretion. We are in great shape from a capital perspective.
Scott Buck: Great, that’s helpful. I appreciate the time, guys, thank you.
Ann Hand: Yes, thank you. 
Operator: [Operator Instructions] Your next question comes from Jack Vander Aarde with Maxim Group. 
Jack Vander Aarde: Okay, great. Hi, Ann. Hi, Clayton. Congrats on the solid results and reiterated strong guidance. I’m just going to follow up just to understand I’m juggling half a dozen earnings calls tonight, that’s pretty crystal clear on the capital and liquidity situation. So you finish the quarter with 7.8 million in cash and no debt. And say you announced a 4.3 million verbal note and 9% interest. It sounds like you’re confident that gives you enough runway to execute your business growth objectives for 2022. But I just want to be absolutely sure is that do I understand that correctly with this convertible note, you expect it to get you through 20.2 while still fueling all the growth funnels?
Ann Hand: Yes, I mean, the good news for us is in the second half year is when we deliver more of our revenues and we don’t really see our costs going up exponentially relative to those revenues. We have invested in the team and the infrastructure that we need to deliver that full year plan. And so the good news is as we start to deliver that heavier weight of revenues in the back half of the year that certainly lessens the net burn and lessens the kind of cash we have to put out to chase those revenues. But what I would say is keep in mind, we do have other opportunities to pull in capital opportunistically if our stock moves in the right direction. So we do have access to the HELOC that we announced a couple of months ago as well as an ATM. And so we’re just going to really try to smartly work with the 4 million the ending cash balance, we talked about March, the 4 million that we brought in today, focus on that exceptional back half performance that we expect to be able to deliver. And then if needed, if an opportunity arises, we can tap into those facilities, again, just to take advantage of any opportunistic runs that could happen as we wait for these public markets to kind of come back around.
Jack Vander Aarde: Okay, crystal clear. Appreciate the color there. And then I just want to switch gears to a question that I want to highlight more than anything, or topic. I believe you said you had 90% of your revenue from repeat buyers and recently you have won the first $1 million deal, a million plus dollar deal with Samsung, which is excellent to hear. You said you’re chasing several other $1 million deals. So here’s a couple of questions here. The Samsung deal was that one in the first quarter of the second quarter? And then can you provide more color on the several other million dollar deals? And when those might close? Are those incremental guidance or the baked into guidance? That’s all. Thank you.
Ann Hand: Yes, and I’ll probably read another kind of question into where you started, which is 90% of the deals one, the absolute number one deals, not the dollars are repeats. So that could be a game publisher, who maybe launched the game with us in 4Q, maybe put a couple 100k to work with us and 4Q and now as they’re doing follow on campaigns, they’re coming back, and maybe it’s a smaller amount. It could be 50, 75k. But it’s extensions of the campaigns. So we count that as a repeat buyer. So keep in mind, we could be seeing our deal sizes continue to grow, and still see that we have both more people buying from us and also at the same time still have those really strong repeat percentages as well because a lot of that has to do with the stage they’re at in the campaign. As far as your question about Samsung. That is a campaign that launched on Friday, the 13th in May. So just last week, and as I mentioned that the five week run, so that will be recognizable revenue for 2Q. That said it’s a deal that when we spoke on the last earnings call it was in pursuit. So when I spoke about the seven figure deals we were chasing, that was certainly one that we were actively in conversations around. What I do think is an interesting though, the trend line is that sometimes in the early days for us these seven figure deals it was it was really almost a business development activity. Some of these could take months to kind of curate to even get them into six figure range because they weren’t really coming from the agency or ad side of the house or the campaign side of the house. They were more coming from kind of the business development side corporately. And what shifted now is because we have so many different exciting ad products and services to put in front of advertisers it’s pretty consistent that we’re seeing RFPs coming over the wall and their 400, 500k deals and we have more than enough in that that kind of 360s suite of offers to say we’re going to build you a Metaverse game world. By the way, we’re going to augment it with great media products and other Metaverse games. We’re going to extract content. And we’re going to give you compelling content for live stream and social. We’re going to work with influencers to make the deal even bigger and richer to deliver those campaign goals. So the RFPs, were always out there that were bigger. It’s the differences is now we have a really differentiated suite and diverse suite of products that we can chase them, and we can deliver the whole program solely as one super league. And that’s the reason that the kind of game has changed. And just to close on that question, I’d say, usually, if we’re chasing a deal that’s north of a million dollars, it’s tapping into all that capability, or at least kind of three out of four of those buckets, so the buckets again, are, we’re building a game world for you, either inside one of our existing games, or we’re building you a dedicated game. The second bucket is that we are then blasting, giving you further coverage by dropping your IP into more games beyond the custom one we built for you through those innovative ad products. I talked about the dynamic billboards, the 3D characters. The third thing we’re doing is you’re paying us to create really compelling content extract endgame content out, because you want more than just players you want viewers and excitement to be built around whatever this campaign is you’re driving and then the fourth bucket is always kind of the icing on the cake is we work with our accessible pool of talent these influencers, to then grab more dollars off the shelf as a campaign and further augment that viewership in that reach because that really creates the virtuous circle that makes us as a single solution point for the advertiser. The more we can shout out with a megaphone and let viewers see this exciting real time game content we’re driving them back into the funnel to check out those game worlds and become players as well. Those players generate content. Content we extract out shouted down the megaphone and drive them back. And that’s why when I talk about things like we can guarantee and advertisers success, it’s because we control the full loop. We kind of control the full life for sure as the game play is compelling, the contents compelling, and the both players and viewers are engaged and coming back for more.
Jack Vander Aarde: Well, fantastic color there and good things happening. I appreciate the update and I will hop back into the queue.
Operator: At this time, this concludes our question and answer session. I would now like to turn the call back over to Ms. Hand for closing remarks.
Ann Hand: Thank you, Ashley. Well, we’d like to thank everyone for listening to today’s call. Clayton and I will be at the Needham Tech conferences Wednesday with a fireside chat presentation scheduled for 1:30 p.m. Eastern time. Also, I’ll be at the HC Wainwright Global Investment Conference in Miami on May 25. We look forward to speaking with you again when we report our second quarter results in August. Please reach out to our Investor Relations team at gateway if you have any other questions. And with that, we wish you a great evening.
Operator: Ladies and gentlemen, this does conclude today’s conference. You may disconnect your lines at this time. Thank you for your participation.